Operator: Good morning. My name is Randy. I would like to welcome everyone to the JetBlue Airways Second Quarter 2014 Earnings Conference Call. As a reminder, today's call is being recorded. (Operator instructions) I would now like to turn the call over to JetBlue's Manager of Investor Relations, Rob Mitchell. Please go ahead, sir.
Rob Mitchell: Thanks, Randy. Good morning, everyone, and thanks for joining us for our second quarter 2014 earnings call. Joining us here in New York to discuss our results are Dave Barger, our CEO; Robin Hayes, our president; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that can cause results to differ from the forward-looking statements, please refer to our press release, 10-K and other reports filed with the SEC. Also, during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now I'd like to turn the call over to Dave Barger, JetBlue's CEO.
David Barger: Thank you Rob, and good morning everyone and thank you for joining us today. This morning, we reported record second quarter net income, excluding special items, of $61 million or $0.19 per diluted share. this marks our 17th consecutive quarter of profitability. Operating margin was 9.4%, an increase of 1.8 points compared to last year. we generated record revenues driven by a solid demand environment and the success of our ongoing efforts to improve revenues through network and product enhancements. We are also very pleased to have completed the sale of our subsidiary LiveTV during the quarter, which resulted in a one-time gain in the second quarter of $242 million and approximately $374 million of net cash proceeds. Our crew members continued to run a safe airline and deliver an industry-leading product and service. Their excellent work was recognized once again as JetBlue received J.D. Power’s highest honors in airline customer satisfaction for the 10th year in a row. I would like to congratulate our 15,500 crew members for this remarkable achievement, a testament to our differentiated product and culture. Second quarter total revenues increased by 11.9% year-over-year. we achieved year-over-year improvements in yield while growing capacity 6%. Growth in high margin ancillary revenue also contributed to year-over-year revenue growth as ancillary revenue per customer increased 6% year-over-year. Total operating expenses increased by 9.8% year-over-year. As expected salaries, wages and benefits and other operating expenses were the largest drivers of the year-over-year increase. As Mark will discuss in greater detail, the sale of LiveTV will reduce our operating cost going forward. Maintaining a competitive cost structure is simply critical to our success. We believe our continued focus on improving operational reliability and efficiency together with structural investments such as T5 of JFK, our international facility, will help us improve our cost advantage relative to our network carrier competitors. We continue to execute successfully on our plan to profitably grow in Boston, Fort Lauderdale, and the Caribbean and Latin America. We are also building on JetBlue’s already strong footprint in New York through new routes such as JFK, our home base, to (inaudible) Newark Liberty Airport to Santiago in the Dominican Republic. Second quarter trailing 12 month profit margins expanded year-over-year in all six of our focus cities, including in Fort Lauderdale-Hollywood, where we have been growing significantly. In our home town of New York, profit margin is at its highest level in many years, a testament to the strength of our brand. In Boston, an important focus for network growth, we are the only airline serving the market with more than 50 destinations on a non-stop basis. Our investment in Boston, including significant facility improvements at Logan International Airport and business oriented network investments continues to pay off. We are very pleased with the successful launch of our Mint product, which commenced on June 15 from JFK to Los Angeles International Airport. By mid-August all of JetBlue flights between JFK and LAX will feature Mint. We plan to begin this service between JFK and San Francisco in October 2014. Our target customers for this product include high-value leisure and small business travelers whom are underserved by our competitors. Premium players in this market are often in excess of $2000 for a one-way ticket. We believe offering a premium product will help us significantly improve returns in these markets, where we have historically underperformed relative to our competitors in unit revenue and profitability. Although still early, Mint’s bookings are very strong. Of note, we are seeing a significant number of our Mint bookings coming from customers that have never flown on JetBlue. We believe Fare Families will allow us to protect our base fare particularly in markets, where we generate a unit revenue premium relative to our competitors, while providing us the ability to improve the monetization of our differentiated product. We expect to roll out the first phases of this new platform during the first half of 2015. As we have outlined on prior calls, our plan to improve return on invested capital this year is driven by three key components, maintaining a relatively flat invested capital base, revenue growth and cost control. With respect to invested capital, we continue to pay down debt, including approximately $300 million in debt prepayments during the second quarter. with respect to cost, we believe improvements in operational efficiency and greater focus on self-service capabilities for customers will help us reduce cost and improve customer experience. For example, we recently announced the roll-out of automated customer check-in 24 hours prior to scheduled departure, which would reduce the volume of transactions required at the airport. On revenue, we believe network maturity will continue to drive CASM improvements. To that end our business markets in Boston are maturing nicely as we build relevance. In addition, our Caribbean and Latin American markets continue to mature quickly usually within a year. We also expect continued momentum in high margin ancillary revenue driven by our Even More product, change fee revenue, revenue related to TrueBlue and JetBlue Getaways. In closing, we are pleased with our second quarter results. Even excluding special items, we expect 2014 will be JetBlue’s most profitable year ever. We continue to focus on executing our plan to improve returns, while scaling our business to achieve higher sustainable returns over the long term. Our unique business model is anchored again by three key competitive advantages that we must preserve and strengthen to be successful over the long term, a differentiated product and culture, competitive costs, and high-value geography. At the same time we remain committed to improving ROIC by one percentage point per year on average, and with that I would like to turn the call over to Mark for a more detailed review of our financial results.
Mark D. Powers: Thank you, Dave. Good morning, everyone, and thank you for joining us today. We are pleased to report second quarter operating income of $141 million. that is an increase of 38% compared to the second quarter of 2013. these strong results are a testament to the terrific efforts of our crew members, who delivered the JetBlue experience everyday. During the quarter we completed the sale of LiveTV, which we believe will reduce future capital commitments while preserving access to industry leading in flight entertainment and connectivity, an important element of our differentiated product. We recorded a one-time gain in the second quarter of $242 million. We used the sales proceeds, as Dave mentioned, to reduce our invested capital base, including roughly $300 million to prepay existing debt, releasing 14 aircraft and bringing our total unencumbered aircraft to 34. in addition, we repurchased approximately 75 million of JetBlue’s shares under our previously authorized share repurchase program designed to offset dilution from JetBlue’s stock granted to crew members. Looking ahead, we expect the sale of LiveTV will reduce full-year 2014 CASM, excluding fuel and profit-sharing by approximately one point. LiveTV operating expenses will no longer be consolidated to JetBlue’s financial statements, which is somewhat offset by the third party service fees we are now paying LiveTV to support our in flight entertainment and connectivity systems. While we no longer benefit from LiveTV revenues, which will negatively impact the other revenue line in our income statement, the sale has no impact on our 2014 ancillary revenue guidance of 10% to 15% year-over-year growth, because this is a airline metric only. We have provided a brief summary of LiveTV’s effect on the income statement, balance sheet and capital expenditures in our investor update, which was filed with the SEC and made available on the investor relations section of JetBlue’s website prior to start of this call. With respect to revenue, second quarter year-over-year passenger unit revenues or PRASM increased by 6% on a capacity increase of 6%. A solid demand environment and the Easter and Passover shift into the second quarter contributed to our record second quarter average fare of 168. That is a year-over-year increase of 6.5%. We estimate the shift of Easter into April this year increased second quarter year-over-year PRASM by approximately 2 points. Demand was solid across our network during the quarter. Florida was the best performing region, leading this system in year-over-year PRASM growth. the domestic demand environment continues to be very strong. In Latin America and in the Caribbean, we added a significant amount of new capacity, which of course pressured yields. Airline partnerships remain an important source of incremental traffic in high yield margin passenger revenue for JetBlue. As previously disclosed, gross revenue from partnership traffic was 80 million in 2012 and 120 million in 2013. we have continued to realize a portion of revenues we had previously designated as incremental from American Airlines even without the partnership. To that end, we continue to believe the termination of the partnership with American is not material to our outlook. As to ancillary revenue, total ancillary revenue in the second quarter increased by roughly 13% year-over-year to approximately $185 million, our Even More offering, the significant driver of this ancillary revenue growth. Dynamically Priced Even More seats by time of day, by seat and by row continue to drive improved yields and seat factor resulting in higher Even More revenue per seat. We believe Even More is on track to generate approximately 190 million of revenue this year. Total 2014 ancillary revenues are expected to increase by about 10% to 15% year-over-year. Turning to costs, we continue to maintain a fuel hedge portfolio as a form of insurance. In the second quarter, we hedged approximately 15% of our fuel consumption. Additionally, fixed forward price agreements, or FFPs, covered approximately 7% of our second quarter fuel consumption. Including the impact of fuel hedging, FFPs and taxes, our fuel price in the second quarter was $3.09, up 0.9% year-over-year. We have currently covered approximately 32% of our remaining full year 2014 fuel consumption again using a combination of hedges and FFPs. For more specific details regarding our hedge positions and FFPs please refer to the filed investor update. Excluding fuel and profit-sharing year-over-year second quarter unit cost increased by 5.1%. this is in line with previously – with our previous quarterly guidance. As expected, the main drivers of the year-over-year increase were salaries, wages and benefits and other operating expenses. Moving to the balance sheet, we ended the quarter with approximately $797 million in cash and short-term investments. In addition, JetBlue maintains $550 million in undrawn lines of credit and 34 unencumbered aircraft and a significant number of spare engines. We expect to end the year with cash, as a percentage of trailing 12 months revenue, of approximately 11%, 12%. We expect to keep the debt portion of invested capital relatively flat in 2014 compared to 2013 even as we take delivery of nine A320s this year, A321s I am sorry, this year. with respect to Capex and the fleet, JetBlue ended the quarter with 197 aircraft, including 130 A320s, 60 E190s and 7 A321s. For the full year 2014, we're forecasting aircraft Capex of approximately $625 million. The LiveTV sale has reduced expected LiveTV related Capex by $40 million to $20 million for the full year, offset somewhat by increased aircraft Capex for Ka-band installs on the JetBlue fleet. Turning to capacity, we plan to grow third quarter ASMs between 3% and 5% year-over-year. for the full year, capacity is expected to increase between 4% and 6% year-over-year. these increases are driven primarily by our growth in the Caribbean and Latin America, which we expect to be up approximately 20% year-over-year both in the third and full year. Turning to the revenue outlook, we generally perform well during the summer peak travel period and we continue to see solid trends across our network. We currently expect July PRASM to be up between 2% and 3% year-over-year. trends in the Caribbean and Latin America look more encouraging in August, and we expect PRASM improvement in August relative to July. Moving to the CASM outlook, excluding fuel and profit-sharing, CASM in the third quarter is expected to increase between 1% and 3% year-over-year. Again we expect salaries, wages and benefits, excluding profit-sharing to comprise roughly three quarters of the third quarter year-over-year ex-fuel CASM growth, primarily related to pilot related compensation, additional cost related to FAR 117, and crew member seniority. Going forward, in-flight entertainment and connectivity third-party services fees paid to LiveTV will flow through the other operating expense line, driving year-over-year comparisons higher. In addition, depreciation and landing fees will comprise the rest of third quarter ex-fuel CASM pressure, somewhat offset by sales and marketing, aircraft rent, and maintenance. Excluding fuel and profit sharing, CASM in 2014 is expected to increase between 2.5% and 4.5% year-over-year. This is 1 point lower than our prior guidance due primarily to the sale of LiveTV. In closing, we indeed remain focused on maintaining our relative cost advantage versus the network carriers. Leveraging our differentiated product and culture to drive revenues and continue to build a profitable defensible network. To that end we continue to focus on execution, running a safe, reliable and efficient operation and meeting our financial commitments. Specifically, we believe our initiative to reach our target of 7% ROIC this year are on contract. At the same time, we are well underway in developing several longer-term strategic initiatives designed to continue to improve returns over the long term. We look forward to providing you a more in-depth look at some of these initiatives at our Analyst Day in November. And with that, Dave, Robin and I are happy to take your questions. Randy?
Rob Mitchell: Thanks Dave and Mark. Randy, we are now ready for the question-and-answer session with the analysts. Please go ahead with the instructions.
Operator: (Operator instructions) And our first question comes from Michael Linenberg of Deutsche Bank.
Michael Linenberg - Deutsche Bank:  Hi, good morning everyone. Just a couple of questions here, Dave, you talked about the improvement in the margins in all six focus cities, year-over-year, on an LTM basis, are all six focus cities now in – are they in positive territory as it relates to, operating margin I guess is what you are – you were referencing?
David Barger: Good morning – good morning Michael. by the way, we are very pleased with the performance on a year-over-year basis. I am not going to go into specifics on each one of our six focus cities. We are very, very pleased with what we are seeing and specifically with all the growth we continue to invest in Fort Lauderdale/Hollywood International Airport in that focus city, but certainly you can understand I’m not going to go into specifics by each of our focus cities.
Michael Linenberg - Deutsche Bank: Okay. That is fair enough and then now, a question just to Mark, the debt prepayment, the $300 million, what was that debt tied to and what was, what was the – what are some of the terms, what was the underlying interest rate?
Mark D. Powers: Interesting question, actually it is – the terms were quite simply they were related to aircraft. They were all secured aircraft deals and on a nominal basis the interest savings could be – again on a nominal on the course of the respective loans, about 37 million on an NPV basis, about 27 million of interest savings, some of which you are seeing this year.
Michael Linenberg - Deutsche Bank: Great. Okay, very good. Thanks Mark, thanks Dave.
David Barger: Thank you, Michael.
Operator: Your next question comes from the line of Jamie Baker of JP Morgan.
Jamie Baker – JP Morgan: Hi, good morning everybody.
David Barger: Good morning.
Jamie Baker – JP Morgan: Dave, there are no delicate way to ask, but it is the question on all of my clients’ minds and that is why I work for, what is your intended JetBlue role for 2015?
David Barger: Well, I mean, it is the same as it is today right now Jamie. Listen, I appreciate the transparency and it is no secret right that I have a contract through the February 2015 time frame, but (inaudible) leaving the company and I am very pleased with the results and what we are seeing with the investments that we have made over the years. So that is the headline.
Jamie Baker – JP Morgan: Okay. I appreciate it. That is it from me. Thanks.
David Barger: Yes, you got it. Thanks Jamie.
Jamie Baker – JP Morgan: Thanks Dave.
Operator: Your next question comes from John Godyn of Morgan Stanley.
John Godyn – Morgan Stanley: Hi, thank you for taking my questions. Guys there has been a bit of speculation from investors that there could be some changes to seat configuration or ancillary programs with baggage fees going forward, basically, you know, making JetBlue look a little bit more like some of the low-cost carriers that are more aggressive on those fronts, I was just hoping that you could speak to those points broadly and offer some thoughts?
David Barger: Good morning John. I will tee up Robin for comments here as well. You know, first of all in headline the business model it is not changing, and as we look at the changing landscape there is plenty of customers that are under services (inaudible) this is what we share internally with our crewmembers, they are customers underserved with the super discounters and customers that are underserved with the network carriers, and you know, along those lines again these three advantages that we drive into our company to drive the results that we are seeing. And it is our product, we’re not afraid to make changes. I mean if you look at Mint, look at Fly-Fi culture, very positive cost structure and geography, and all that said, you know, the industry continues to morph as well. So if you look at advantages and, you know, things like seat density always seem to come up. We are focused in other areas right now, and when we look at things like Datalex and Fare Families and the ability to drive monetization across 34 million customers appropriately that is how we are running the company. Robin a little bit more color. I mean that is – your team continues to really do some nice stuff in this space.
Robin Hayes: Sure. Now thanks for the question John. I appreciate it. If I can address the comment about first bag first, and then come back to the density question, which (inaudible). I think we have said before that we are investing and partnering with Datalex for a – a new fare product. We use the word Fare Families, but what it allows to do is put different bundles of offerings in front of customers. If you look at many of the low-cost carriers here, they do this really elegantly and really well, and you know, we look at that and we see opportunities to bundle elements of our product that we don’t do today. I mean we fully expect that what has happened over the last several years is as some of our competitors have taken away more the gap between what we offer and what they offer has increased. And, you know, in markets like Florida we believe we get a premium for things like first bag today and those other markets that we accept that we don’t and so when we get off the (inaudible) Fare Family allow you to monetize first bag in the markets where you don’t get it. Then, we have that capability now. What we haven’t said yet is, you know, what that looks like and the structure of that, but we do – I will conclude by saying we do believe Fare Families is a significant source of revenue according to us into the future, and I think we said before that we are looking to roll that out in the first half of next year. In terms of seat density, I mean Dave touched on this, we get a lot of questions on this and, you know, what I said before is we are not, you know, we are not again adding seats, (inaudible) I mean what Dave said earlier about maintaining a differentiated product is very true. But, you know, there is a big gap. There is a merge between what we offer and what other airlines offer. We have done this in (inaudible) before, where we actually reduced the pitch for our core customers to quite more even levels. We have done that recently. So, you know, we continue to look at that. Again not philosophically against it, but we actually believe that things like Fare Families is a much bigger source of immediate value generation, so that is where we are focused right now.
John Godyn – Morgan Stanley: Got it. So changes on ancillaries and getting maybe more creative and clever there, it sounds pretty realistic on the other hand, major seat configuration changes, that would take some time, is that a fair kind of takeaway here?
David Barger: Yes. I think the Fare Family is where we are focused right now. We have already said that that is a platform that will happen in the first half of next year. We want to be very thoughtful about how we execute these things. These are very complex changes for our company and we want to execute it really well so our customers have a seamless experience.
John Godyn – Morgan Stanley: Is there anything aside from bag fees that you would point out that Fare Family is really kind of introduces as an interesting opportunity?
David Barger: Yes, I mean obviously we have got some thoughts. I am not going to – I’m not going to go into the details now. I would point you to some of the European airlines who do this really well. We have certainly looked and learnt from them and you know, we look forward to sharing more towards the back end of this year. Obviously I’m sure you understand John, we are very constrained by what we can say from a sort of a pricing point of view ahead of our (inaudible) system and so hence my cautiousness about being more specific with you.
John Godyn – Morgan Stanley: Okay. Thanks a lot guys.
David Barger: Thanks John.
Operator: Your next question comes from the line of Duane Pfennigwerth of Evercore.
Duane Pfennigwerth - Evercore Partners Inc.: Hi, good morning.
David Barger: Good morning.
Duane Pfennigwerth - Evercore Partners Inc.: Just on – on your growth in Latin America, I think the comment was you added a bunch of capacity, which of course lowered yields, my question is why is, you know, 25%, 30% growth the right number there and are we missing something, in other words, is this even though you are lowering yields because of your 30% capacity growth, is that perhaps enhancing your profit margin year-to-year? Thanks for taking the question.
Robin Hayes: Duane, hi, good morning, it is Robin. I will take that. You know, I think, you know, we have talked before about the importance of the (inaudible). We have talked a lot about our, you know, expansion of Fort Lauderdale/Hollywood and so, you know, certainly we have seen opportunities that we have taken advantage of. These, you know, these routes do ramp up very quickly to profitability. We certainly see it – seen and if you – you know, if you look back over a year we significantly outperformed sort of the industry in this part of the world. There has been a couple of months really in the May, June time frame where that got very – the yields do get pressured with our capacity and other capacity, but, you know, we truly believe that is a very short-term issue, and in fact, I – as I look into August I’m already seeing significant improvement in our pricing capability in that part of the world. So, you know, I think these things have been slow, and I think, you know, we feel really good here, it is a quick path back to being able to continue to grow Latin and getting stronger a unit revenue performance as we do it.
Duane Pfennigwerth - Evercore Partners Inc.: Okay. I appreciate that and then I wonder if you would kind of comment on how we should be thinking about the rest of the quarter in terms of unit revenue comparisons. I know people generally say less about forward revenue than it used to but how we should think about the comps into August and September?
Robin Hayes: Sure. So what I want to sort of, we only guide one month out, what I will say because historically July and August have performed in a very similar ways for us but what we are seeing actually this year is based on what we see today and I do the health warning around August because although we have pretty good line of site, it's not complete line of site, we are seeing August shaping up bit much better than July and September still very early I don't want to comment.
Duane Pfennigwerth - Evercore Partners Inc.: Thank you very much.
Operator: Your next question comes from the line of Hunter Keay of Wolfe Research.
Hunter Keay - Wolfe Research: Hi, good morning, everybody. So, we saw Delta move pretty aggressively into Seattle, obviously as everybody knows at this point and Alaska responded with a whole bunch of commercial initiatives and their stock doubled. So now we see Delta moving pretty aggressively into your market and the question that I have for you guys is are you going to be more inclined to do things to combat this that are shareholder friendly or do things that keep your customers loyal to you?
Robin Hayes: Hunter thanks. Couple of thoughts. First of all it's you reference Boston and Seattle with the competitor maybe just on strength of New York because there is a lot of changes taking place right here in our backyard and we are as you know, significant presence in three airports and fly to five airports here and the growth we are seeing across New York on a year-over-year basis margin wise, with a lot of competitive dynamics taking place and trailing 12 as well Michael's earlier question I won't go into specific but I am very pleased with what we are seeing across New York and again this is right in the middle of significant competitive changes that are taking place and with regard to Boston it's a I don't think that Boston and Seattle expect for the fact that they are both geographically very similar and they are proximity to end of the country and one Europe and one Asia, of course Alaska and North of Seattle for in that landscape but we are very pleased with what we are seeing in Boston. When I look at our product and the financial improvement that’s taking place north of 50 non-stop markets and the dynamic that you see in Boston with airlines like Hainan adding service non-stop to China, JAL to Emirates, Turkish again partner airlines for us other airlines that I know we are having discussions with Massport and we are having discussions with, we are very-very pleased with Boston and including of course there (inaudible) operation a real significant partner for us. So we are very pleased with the progress that we are making, investments that we are making in Boston and I want to call out Massport as well because we have a terrific partner with Massport in terms of what happened at Logon. Rob has additional commentary when you look at Hunter’s question on Massachusetts versus Washington State.
Robin Hayes: Yes I mean I do think there is tendency to get very sort of micro-focused on a particular market. I mean we tend to take a step back and look at sort of overall system capacity, competitive capacity and it’s being pretty constant I mean it's really want to get about 1% to 2% throughout this year, it goes up in some areas. So we kind of not get ahead of that and in terms of your comment on to that customer versus shareholder, now we are trying to find things that actually work for both. And so when we think about past time how we can roll out in a very JetBlue way but also in a way that drive significant incremental revenue, when we think about – now when we identified parts of our product offerings for customers they don't necessarily particularly value and there is a way of monetizing that we do that. I don't necessarily say in an either way I think you and I then maybe agree to disagree on that but we want to try and find actions that are absolutely shareholder friendly but also are protective about brand because we think maintaining a different set of product and culture add a little cost structure in higher buy geographies is ultimately what allow us to win in the space.
Hunter Keay - Wolfe Research: Sure. Okay. Yes, thanks Robin and I think we agree that obviously the best answer is both. I guess just what I was referring to more is if competitive capacity gets so bad where you are losing market share, you are losing your customers to Delta and your stock price is going down and you are forced to make a decision that is uncomfortable, that's selling Mint out of Boston, out of New York for $400, or hypothetically of course just implementing a first bag fee, something that your customers would not enjoy. So I guess ideally you have a solution that checks both boxes but I guess what I was really more referring to is the decisions that you don't want to do. The uncomfortable decisions.
David Barger: Yes, I know I appreciate it. Again as we look at the investments that we have made in Boston, it relatively flat this year, there are a lot of investments taken place there in the past so the ability for market maturity to take place, it's lot of our investment going in the south Florida right now but I would also remind you as we look at ROIC target on an annual basis and again as we have talked about our 2014 goal and the further commitment to improve our ROIC while we were growing our company I remind you that up in Boston we are just over a decade old and there was an airline, I believe out in Seattle that’s 70 plus years old right and so I am not sure when they made their (inaudible) to Washington state. So the dynamics are also different as we look at what's best for us again that our crew members are customer and our shareholders.
Hunter Keay - Wolfe Research: Okay thank you.
David Barger: Thanks.
Operator: Your next question comes from line of Daniel McKenzie of Buckingham.
Daniel McKenzie - The Buckingham: Hey good morning. One housecleaning question here, did you mention the timeframe for roll out of the fair families and other potential ancillary revenue initiatives?
Robin Hayes: Hi Dan it's Robin. It is our CIO has given me one date in my mind I always take a more cautious approach so at the moment we are not going beyond the first half of next year but clearly we all are acutely aware we do see this a good source of value and the quicker we can get it in, the quicker we will stop seeing that but for now for planning purposes we are assuming first half of the next year.
Daniel McKenzie - The Buckingham: I see. And then I am wondering if you can talk a little bit more about first class. You mentioned some market share gains from passengers that have flown in JetBlue before so I guess a few questions tied to that to what extend has first class narrowed your average fair differentials versus your peers from what you are seeing today and what load factors are you targeting, what are you seeing and is there a plan to accelerate the first class product of the markets. I know you have spoken about Boston but are you thinking perhaps international markets as well to support yields there?
David Barger: Hi Dan, good morning. I used the term housekeeping, just the housekeeping note we use the term mint experience versus first class or business class. I know it's a play on word but it's really important. We use the word core for coach right because ten years in row JD Power it's a nice experience and we don't have occurred, so little bit housekeeping there but it really pleased what we are seeing with the mint launch out of candy we know these are two markets for sure historically that people actually purchase the ticket. And as we look at our roll out with introductory fares of course it's going to be some normalization that takes place there, really pleased with what we are seeing with customers who have never flown us before. And we believe that to be the case and also intrigue by even the corporate community if you will and that’s where I hope where it's intended for. It's – and the whole transcon out of New York is looking different for the most part on carriers and again I think about at the right price point, really-really dynamic for us. Robin, do have additional commentary and specific to Boston international markets with Dan's question?
Robin Hayes: Sure, Dan. Thanks and using the term inexperienced so Dave doesn’t elbow me and side here but when we think about when we present the Analyst Day last year and we talked about look an airway where we had a significant RASM shortfall was into these transcon market so absolutely we see Mint as core to driving up to a sort of industry competitive rather than performance and we already extremely pleased I mean you know the facts we have at the moment I mean it's driving a lot of new business. We are getting a lot of customers who have never flown JetBlue before so really above and beyond the expectations. So yes will the sort of average price drifted up, yes of course it will and I am not going to put up timeline on that but we are very pleased and then we have plenty of time to decide what we want to do beyond that and we will kind of get to that in due course.
Daniel McKenzie - The Buckingham: Very good and Dave the houseclean item noted, Mint got it.
David Barger: Thanks Dan.
Operator: Your next question comes from line of Helane R. Becker of Cowen and Company.
Helane R. Becker - Cowen and Company: Thanks operator. Hi everybody. Thank you so much for the time. I just have two questions. Hi Dave. One is Dave, you mentioned the right price point for Mint. And I know when I have checked the website the fares seem to be between $599 and $799 and it seems to be sold out on a lot of days. So I am wondering if the right price point might be something higher, or what your definition of the right price point is. And my second question has to do with the TSA fee that went into effect on July, the increase. I was just kind of wondering if you could talk to the impact that fee might have on your revenue and whether there will be acceptance by your customers if you can pass 100% of it along? Thanks.
David Barger: Helane thank you. It's – let just start with TSA and give a comment as well as on Mint and Robin feel free to jump in on as well and so pricing with me but you know the TSA fee increased first headline I mean this increase at the end of the day I mean this impacts demand at a macro level. We know that and this is not like any type of fair, a fee, a tax or whatever the case might be and so it's a very pick time of the year for us right now so I think that it's it just rolled out so there is minimum type of impact if you will but you know it still is I think what's really so excited about it is that any additional dollars that are collected are not being further invested in the security protocol. This is being raised to, reduced to national debt and it's heinous and then when you look at an industry that's already taxed domestically more than 20%, you start to look at alcohol and tobacco I mean same tax if you will it's just, it's (inaudible)and so that's the bigger issue that’s out there and there is a all kinds of dynamics about connecting flights and origin in international markets connect and domestic flights etc that it's listen we are accepting it, we are not seeing impact at this point in time but will see what happens into the fall, into the winter timeframe. At the end of the day further taxes fee, surcharges where the case might be impacts demand at the macro level. And talking about Mint and pricing, it's a rather (inaudible) ball over to you, it's (inaudible) because you look at our pricing, we are talking about trial and that's been history about our company. When we have trial in our core experience since our first flight in 2000, it's been very sleek with customers and changing brand and so as we look at trial that's what we are after. You asked earlier as well we are getting pricing Robin so I will give you for additional commentary.
Robin Hayes: So now I think Helane I mean the fact that we have slowed down I think talks to the strength of demands of the product I mean of course we continue to see that in the process of adding additional daily frequencies as we take new airplanes in and do I see the average Mint fare coming off, I mean I think we have been very hoping and say that we do. It's still going to be the lowest cost by getting across the country with what we believe to be the best product and I think the fact we are so slowed out gives us the hope that - hope is the wrong word, gives us confidence that there is plenty of room to move the fare but 599, 799, 999 think of this promotional offer and we want to create scarcity value for the product in it’s opening month.
Helane R. Becker - Cowen and Company, LLC, Research Division: Great. Thank you so much for that color.
David Barger: Helane thanks.
Operator: Your next question comes from line of Glenn Engel of Bank of America Merrill Lynch
Glenn Engel - Bank of America Merrill Lynch: Good morning. A couple questions. One the maintenance site continues to be a good guide though maintenance cost start to rise again year-over-year?
David Barger: Thank you Glenn and thank you for acknowledging that that as I promised with the help of our sourcing and (inaudible) group converting to some flight hour agreement is really assisted in making that line item a flat number. Probably too soon to talk a little bit about what's going to happen 2015 but again I think that you will continue to see in 2015 at least the positive impact of flat hour agreements and (inaudible) going to probably expand the scope of some of our flight hour agreements to other parts so having predictable and relatively manageable flight maintenance cost and minimizing surprises is a good thing.
Glenn Engel - Bank of America Merrill Lynch: So third quarter will be another good guide in maintenance side?
David Barger: Yes I am not looking for any spikes and I am looking at Mr. Martin who speaks so and he has given me thumbs up so we shouldn't have any big surprises as to the year.
Glenn Engel - Bank of America Merrill Lynch: Then sales and marketing expenses up a lot in this quarter, was there anything unusual about that?
David Barger: There was an ad campaign that was accelerated in the quarter and by the way the percentages are big that the dollars are small on that line.
Glenn Engel - Bank of America Merrill Lynch: How again does the employee profit-sharing calculate? Because we didn't see any yet and yet you clearly made more money this year than last year?
David Barger: I am sorry. Say it again.
Glenn Engel - Bank of America Merrill Lynch: Profit sharing you don't see any profit sharing even though your profits were up in the first half.
David Barger: Yes that will be year end, a year end calculation typically.
Glenn Engel - Bank of America Merrill Lynch: I am okay. Thanks.
David Barger: (inaudible) thank you.
Glenn Engel - Bank of America Merrill Lynch: And the live TV was not showed up in the second quarter to have the impact only in the third quarter.
Speaker: The live TV, yes it's – I think there are some adjustments in the second quarter here. It was June so there is the stuff period that it did flow through. So it's not the full quarter impact. It’s just stuff period for the quarter.
Glenn Engel - Bank of America Merrill Lynch: Okay.
Operator: Your next question comes from line of Tom Kim of Goldman Sachs.
Tom Kim - Goldman Sachs: Good morning. I would like to ask about your role of target. First off how are you tracking towards that 10% goal for the year?
David Barger: Good morning Tom it's you know as we talked about growth for the year, really 4% to 6% type of range as what we are looking at. Keep in mind that an awful lot of items were lost over the course of the quarter so the first quarter.
Tom Kim - Goldman Sachs: Okay. Can you does help us understand why you may not be setting the bar higher? Many of your peers are in the low teens or aspiring to be in the mid-teens. To what extent are you seeing -- are there structural barriers to actually generating a much higher ROIC? And to what extent -- and I appreciate that this is not something that is a short-term phenomenon -- but if you walk us through, how you get that ROIC well above your cost of capital in the sort of low to mid ten range. What do you need to be doing on that? Obviously I appreciate the stuff you have done on the top line to improve asset turn but obviously one big drag is the capital base and so things (inaudible)doing more on a capital base to get that asset turn higher for better role and it's just if you can walk us to the medium to long term strategy help us to understand, a, is there any structural barriers and b, what could you do to more aggressively ramp-up that ROIC thanks.
David Barger: Yes Tom, let me just clarify to answer out footprint from that same perspective price. So as Mark and I both commented in our prepared comments I mean we were more very much committed to we see a line of site too, the end of year some point in zero percent ROIC if this one point on average year-over-year that we actually committed to approximately three years ago, not going to update mid-year in terms of where we are at in that track but to your point I mean that remains the same as we look beyond 2014 from the standpoint of improving our ROIC a point per year on average on a go forward basis, that's how we are running in the business. So when you get inside of (inaudible) from standpoint of again this year relatively flat invested capital base as we look at maturing markets our focus (inaudible) comments on again year-over-year margin improvement to spike growth in all six of our focused cities. The ancillary revenue improvements that we have seen, partnership traffic that we have seen as well on the (inaudible) airways being the recent addition into the group, that of course this focus on the not just (inaudible) as we look at a new fleet with things like 321s and that dynamic, Sharklets retrofit on the 320, right size in the Embraer 190s decisions made with LiveTV, where that I mean (inaudible) Mark over to you for additional commentary.
Mark Powers: Hey Tom thank you, I think Dave you said well. I would just highlight one more that you said which is well growing. And it's not structural but it situational we are growing and I sort of share I think the sentiments that I am not fairly convinced that seizing growth immediately as a way to in the short term improve ROIC would be in the best interest of our owners because all of the investments that we have made would surely be lost in this competitive environment. I think part of our Robin your comments on the Latin America we are not done. It's 15 year old company and frankly even our Caribbean network is much younger than that. We are not in position where we can basically eliminate flights out of Cleveland and other places in (inaudible) environment. And I do look forward to looking at this with you through long term lends, but I truly believe in I think Robin you would share this as well in terms of network it's if we up growing it's maybe advocate would be strong word but I don't think that would be best interest of the share price and the owners.
Robin Hayes: Hey Tom its Robin. I appreciate the question, I think this gets little hot what a lot of many investors are thinking as they compare us with other option and I think we have been making a lot of investment over the last few years which are positioning us really well in terms of growing ROIC over the coming few years and we talked a lot about even number of other things that we are sort of not discussing in the pipeline we talked about the 321, the Sharklets that unit cost benefit of 321, the investment in real estate in Boston and all about that allow us to facilitate that growth I mean a lot of those are investment that we have been making. They have acted as a short term drive on ROIC but are absolutely at the position as for ROIC growth in the medium to long term and that's what we are focused on.
Tom Kim - Goldman Sachs: I definitely appreciate all the additional color there. I guess little more specifically with some of these products, can you just give us some examples like for example it's mint obviously you are very happy with the promotional launch or promotional _ at the launch how long does that continue and at what point, when you think of sort of stabilizes? What do you estimate the ROIC on that productivity?
Robin Hayes: We are not going to break it out like that but I mean we are 38 days into this product so it's extremely new. We don't even have a full pattern on (inaudible) we don't even start flying it o San Francisco in October and I think we laid out very clearly the case mint of the investor day last year which was about closing the gap. We are extremely confident, I would say I am even more confident than I was before about our ability to do that. I am not going to put a time line on when the days are going to go up because even if I wanted to that's not something that we can do. But we did mean so that we could transform the probability of those transform market which is absolutely ROIC (inaudible) was one of the biggest areas where we saw that (inaudible) and we are committed to address it.
Tom Kim - Goldman Sachs: Yes that's great. Thank a lot Robin.
David Barger: Thanks Tom.
Operator: Your final question comes from line of Joe DeNardi of Stifel.
Joe DeNardi - Stifel Nicolaus: Thanks. Good morning. Mark I may have missed this but could you quantify what the benefit of ROIC was from I guess the point (inaudible) the life TV sale proceeds and maybe 7% something higher than 7% now is a reasonable target for the year.
Mark D. Powers: I didn't quantify that. I will simply say up from a high level perspective I am assuming that you and your associates probably aren’t going to include the gain on the sale in (inaudible) ongoing model. I would say that the ROIC benefit from the life TV transaction from an ROIC perspective is what did you do with the cash. And (inaudible) invested capital as well as we significantly going to reduce interest expense.
Joe DeNardi - Stifel Nicolaus: Okay I guess what I am trying to understand is what was the benefit ROIC from that reduction in invested capital?
Mark D. Powers: I didn’t mention that but if you say sort of (inaudible) with the interest saving was that's it and then just reduce the denominator by 300 plus the shares that we purchased.
Joe DeNardi - Stifel Nicolaus: Okay so I mean does that push the target comfortably about 7%?
Mark D. Powers: I don’t we can give major guidance on ROIC but it's clearly a slightly guide but again I really did the benefit of Life TV as reduce future capital expenditures and lower CASM and it's nice to reduce the debt stack.
Joe DeNardi - Stifel Nicolaus: Okay. Thanks.
Mark D. Powers: Thank you, sir.
David Barger: Thanks Joe.
Mark Powers: And that concludes our second quarter 2014 earnings calls. We will talk to you again three months with our third quarter call. Thanks for joining us and have a great day.
Operator: And again we conclude today's conference call. Thank you all for your participation.